Operator: Good morning, and welcome to Foot Locker's First Quarter 2023 Financial Results Conference Call. [Operator Instructions] This conference call may contain forward-looking statements that reflect management's current views of future events and financial performance. Management undertakes no obligation to update these forward-looking statements, which are based on many assumptions and factors, including the impact of COVID-19, effects of currency fluctuations, customer preferences, economic and market conditions worldwide and other risks and uncertainties, described more fully in the company's press releases and reports filed with the SEC, including the most recently filed Form 10-K or Form 10-Q. Any changes in such assumptions or factors could produce significantly different results, and actual results may differ materially from those contained in the forward-looking statements. Please note that this conference is being recorded.  
 I will now, turn the call over to Robert Higginbotham, Interim Chief Financial Officer. Mr. Higginbotham, you may begin. 
Robert Higginbotham: Thank you, operator. Welcome, everyone, to Foot Locker Inc.'s First Quarter Earnings Call. Today's call will reference certain non-GAAP measures. The reconciliation of GAAP to non-GAAP results is included in this morning's earnings release. Note, we have a slide presentation posted on our Investor Relations website with information that will be referenced during the call. . 
 Today, we'll begin our prepared remarks with Mary Dillon, President and Chief Executive Officer; Frank Bracken, Executive Vice President and Chief Commercial Officer, will then give more detail on our operating results across our banners. Then, I will review our quarterly results and financial position in more detail and provide color on our updated 2023 guidance. Following our prepared remarks, Mary, Frank and I will respond to your questions.  
 With that, I'll now turn it over to Mary. 
Mary Dillon: Thank you, Rob, and good morning, everyone. Thank you for joining us today. We are now 2 months into the launch of our new Lace Up strategy, and there's a good deal of progress to update you on, even as the environment has become more challenging. On March 20, we hosted our Investor Day, where we unveiled the updated strategic direction for Foot Locker, which we call our Lace Up plan.  
 Let me reiterate the premise of the plan. We operate in a large growth category with strong tailwinds. We have many assets to leverage like our 50-year heritage in the industry and our leading brand equity in the marketplace. The underlying principle of our plan is that with the right focus, investments and capabilities will more fully participate in the rapid secular growth of the category, and return our business to sustainable growth following this year, our reset year. Our conviction lies in the fact that Foot Locker occupies a unique place in the sneaker ecosystem as the #1 global brand synonymous with sneakers and sneaker culture. We have a 50-year authentic history around street basketball in use culture. And we are truly an iconic brand with over 90% brand awareness and social media engagement that dwarfs our competitors. And we're a favorite brand with the teen consumer who is the driver of future trends. By simplifying our business and investing in our core assets and capabilities, we'll be able to better harness that brand equity and drive sustainable long-term growth through the 4 new strategic imperatives that make up our Lace Up plan.  
 In the first imperative, we will expand sneaker culture by serving more sneaker occasions, providing more choice and driving greater distinction to tap into the inner sneaker head in all of us. Our second imperative is the power of the portfolio by creating clearer lanes for our banners and transforming our real estate footprint by opening new formats, shifting off mall and closing underperforming stores. Our third imperative is to deepen our relationships with customers by reimagining and relaunching our loyalty program and building better CRM capabilities. And the fourth imperative is to be best-in-class omni by increasing our digital mix by improving the digital experience for our customers, as well as the connectivity between channels underpinned by systems improvements. As we begin to bring the Lace Up plan to live my conviction and confidence in the direction we're charging and the team's rapid execution of the plan is just continuing to grow. However, since our Investor Day in the face of increasing macro headwinds, our sales trends have slowed significantly, just in the past 1.5 months which will have an impact on our near-term results.  
 In the first quarter, our comps fell by 9.1%, resulting in adjusted EPS of $0.70, somewhat below our original expectations given the softer-than-expected trends that materialize beginning in April and have continued into May. Rob will go into more detail later in the call, but the recent softness has resulted in us taking a more aggressive promotional stance to drive demand and to effectively manage our inventory, and we're reducing our guidance for the year to reflect that. To give you some greater color on what we're seeing, following a much better-than-expected holiday season, we've seen the consumer retrench as they continue to face pressure from rapid inflation, which we see squeezing their ability to spend on discretionary items, including athletic footwear. In addition to overall discretionary spend seeing some pressure, those spending dollars also appear to be directed more towards services and away from products, as consumers are forced to be more choiceful on how to spend their money.  
 When we gave guidance, we are seeing steep comp declines given a number of factors: our reset with Nike, our transition of the Champs banner, our shutdown of the Eastbay banner, and a 10% decline in average tax refunds, which have an outsized impact on our business given we over index to a lower-income consumer. As part of our guidance, we had forecasted a pickup in growth in April, as we move past the tax refund drag and benefited from a more favorable launch calendar during the month. And while trends did improve, they did not improve nearly to the extent we expected, and that weakness has continued into May. As a result, we increased our promotional activity late in the first quarter and more so in the second quarter. And we expect that level of promotional activity to continue through the balance of the year, which will allow us to clear inventory and bring more newness to our customers. So while 2023 was always going to be a reset year for us, we now expect a sharper decline in both sales and earnings this year, due to steeper macro headwinds, combined with the other dynamics of our transition just mentioned.  
 Despite the challenging environment, we remain confident in the Lace Up plan as a road map to return us to sustainable growth next year.  
 With that, let me update you on our progress so far, on the Lace Up plan strategic imperatives. The first imperative is to expand sneaker culture, which has 3 major components: serve more sneaker occasions, provide more choice and drive greater distinction. I'll begin by commenting on the reset of our relationship with Nike. While the first quarter began to see the impact of the reset on our business, we did see strong results on a relative basis in our Nike and Jordan basketball business. Retro sell-throughs albeit at reduced quantities were very good. Nike and Jordan Signature Basketball delivered strong gains, including the LeBron 20, the launch of the Job 1, the Tatum 1 and Luca 1. And we believe the future of basketball is very exciting with these next-generation players, leading the way. Meanwhile, the culture of basketball also continues to connect with consumers through models like the Jordan 1, Nike Dunk and of course, the Air Force 1. And I continue to be encouraged by the strong engagement of our mutual teams, as we continue to partner around our areas of strategic alignment and strength. Basketball, kids and sneaker culture. In fact, our teams were together this week in Portland to plan our return to growth in our Nike business in 2024. We're also partnering closely on data sharing and building a stronger joint capability around demand creation for our shared customers and marketplace.  
 Beyond continuing to partner with Nike in our mutual areas of customer focus, we will continue to serve more sneaker occasions and provide more choice, consistent with the desires of our customers. This will mean continuing to diversify our assortment through the ongoing rollout of brands like ON and HOKA on the performance side. Both of which continue to see strong sell-through in current doors. ON is now in over 250 doors globally with HOKA in about 100. On the casual side, we're also adding Hey Dude to 450 doors across banners in North America. As the Hay Dude brand is becoming increasingly adopted by the fashion forward expressionist, especially suburban young males, we see an opportunity to connect with those consumers through our banners, while also bringing new styles and stories to our core customer, the Sneaker Maven. We also continue to see strong growth from brands like New Balance, Puma and ASICS as well as outperformance in the Adidas brand, resulting in the diversity of our brand mix beyond our top brand Nike, increasing to 35% from 33% last year. 
 On serving more distinction, our exclusive mix of sales was 15% during the quarter, flat to last year. While still early days in our strategy to push that higher, we're pleased with our pipeline and evolving collaborative relationships with our brand partners, to help drive that to 25% by 2026. We added excitement to basketball in the first quarter through our exclusive LaMelo Ball Times Puma, which drove excitement during All-Star weekend with the Rick and Morty collaboration. Our exclusive Nike Air positioned in Tuned Air drove very strong results, especially through the soccer inspired material story, which performed well in international markets. And our Reebok times and well exclusive was also very well received by consumers. And finally, in apparel, our private label team is doing a great job with our brands increasing from 7% to 11% of total apparel sales led by growth in Locker and Cozi, both up over 50%. 
 The next imperative is power up the portfolio, which includes creating distinct lanes for our banners and optimizing our real estate. On distinct lanes, we are on track to close our side set banner in Europe by the middle of the year. And our transition of Champs to focus more on the active athlete segment is also making progress. With our current more distinct collection of 5 banners, we'll be able to differentiate more clearly in the marketplace, as well as optimally cover more of the sneaker consumer market. 
 In terms of real estate transformation, in the first quarter, we opened or converted 11 new Foot Locker community and Power Stores across the globe, giving us 184 stores in these bigger formats, that allow us to offer a fuller expression of the category and sharpen our competitive edge in the marketplace. Our new formats now represent 12% of our global square footage, up from 9% a year ago, as we grow towards our target of 20% by 2026. Across all of our banners, off-mall now represents 35% of our North America square footage, up from 31% last year, as we march towards our target of over 50% by 2026. Both our new formats and off-mall doors are outcomping the rest of our fleet, which continues to give us conviction in the strategy. Lastly, as part of our real estate transformation, we closed 35 underperforming stores during the quarter, which will allow us to focus on our higher-quality locations. 
 Moving on to our progress to deepen our relationship with our customers. We continue to work on enhancing our loyalty program and our overall CRM capabilities. During the first quarter, we launched our current FLX program in Canada, where we'll be conducting the pilot of our new loyalty program later this year. Approximately 25% of sales in the first quarter were through our current loyalty program, similar to last year. By launching our new program next year, we continue to expect to drive improvement in sales penetration of loyalty to 50% by 2026 and 70% long term. We also continue to develop and test new CRM capabilities with the team, making progress by standing up additional CRM campaigns to drive frequency and retention. Examples include, recommending the next best product for you based on your past purchases as well as a notification that a product in your cart is selling fast. 
 And then, our last imperative to be best-in-class omni which means improving our digital presence as well as better integrating our channels with each other. In digital, we've already made early progress in improving conversion through enhancements, including adding more calls to action, improve product recommendations, as well as technical improvements at a decreased error rates on our site. While our digital sales penetration for the quarter was flat versus last year, excluding Eastbay, we saw trends improved through the quarter with our April digital percent of sales, ending up year-over-year and above our plan, putting us on a strong early path towards our goal of reaching 25% by 2026, up from about 16% today. In stores, we continue to roll out upgraded handhelds across our store fleet, adding over 800 stores this quarter, giving our stripers improved visibility on inventory access to product information and ability to check out customers and improving in-store conversion. We now have updated handhelds at over 50% of our stores, up from 21% at the end of last year, and still expect to be fully rolled out by -- to 100% of the fleet by the end of this year. And as a key enabler to our strategy, our investments in technology are off to a great start. We've created agile delivery technology pods with our teams to increase speed to market and value creation more quickly. 
 Over the last quarter, we focus on areas that directly impact our customer, digital and loyalty. Changes that begin to remove friction points for our customers and improve the digital experience we provide from improved search, add to cart and the payment experience have all already improved, resulting in conversion improvements and NPS growth. In fact, our experimentation pod focused on e-commerce wins has already proven over $30 million in incremental sales with new experiences and campaigns, much more to come. Taken together, we're excited about what the team has been able to accomplish over the last couple of months with more in store for the future. 
 So in summary, while early days since we've launched our new strategy, we're building momentum and gaining traction across all of our key strategic initiatives and remain excited and committed to reaching our goals and returning to long-term sustainable growth. We also continue to strengthen and invest in our already talented leadership team, following the recent key hires at Adrian Butler as our new Chief Technology Officer; and Kim Waldmann as our new Chief Customer Officer. We just announced that we brought on Blanca Gonzalez as Senior Vice President and General Manager of the WSS banner. Blanca joins us from Nike, where she served as Vice President of North America product merchandising. She brings nearly 20 years of experience in the category across various areas, and we couldn't be more excited to have her take leadership of our high-growth WSS banner with a unique focus on the Latino community. Welcome, Blanca. We also announced this morning that Mike Baughn will be joining us our new CFO starting next month. Mike joins us from Kohl's, where he most recently served as Executive Vice President of Finance and Treasurer, and brings him over 15 years of retail finance experience. I'm incredibly excited for Mike to come on board to help us deliver on our Lace Up plan goals. Welcome, Mike. Rob will be returning to his prior role as Head of IR and FP&A and I'd like to thank him for his leadership of the finance organization, while we conducted the search and for his ongoing contribution, including helping to lead the Lace Up plan. We truly have the best team in retail. 
 So let me close by thanking the Foot Locker team for their dedication to executing on this challenging backdrop. I'm confident in our ability to navigate this environment, as we continue to make progress on our long-term strategy. 
 And now, let me hand it over to Frank to provide more detail on our performance and important milestones by banner. 
Franklin Bracken: Thank you, Mary, and good morning, everyone. By category, footwear comped down high single digits, while apparel and accessories fell mid-teens. Lifestyle running was the category with the most disappointing sell-through for the quarter. As many of the styles were carryover from holiday '22, and were promoted throughout the Q4 season, the consumer was resistant to a return to oil price selling in Q1 2023. That, combined with lower tax refunds and a challenging financial picture for our lower-income customers created a significant headwind for our marquee lifestyle running franchises, which are normally full priced from $120 to $200. 
 Early Q1 sales in boots were also very soft. And, as we exited the quarter and entered spring seasonal selling, we experienced a soft start with CANVAS and skate inspired books. As we moved into April, we began aggressive promotions to help stimulate demand and move through inventory. While macro factors, in addition to our reset with Nike and her Champs transition resulted in steep comp declines. We also see many encouraging signs within the category. In footwear, New Balance continues to be our best-performing brand, growing nearly 100% during the quarter with strength in franchises, including 2002R, 9060 and the 530. Signature Basketball was also a bright spot, with the successful early launches of the Job 1 with Nike, the LeBron 20 as well as Jordan Signature shoes from Jason Tatum and Luca Doncic, in addition to the ongoing strength of our exclusive LaMelo Ball franchise with Puma. Combined with strong Jordan Retro sales and classic court stops from Nike, we remain excited about our position at the heart of basketball culture. Performance running has also been strong, aided by ON, HOKA, Brooks and ASICS, which all continue to grow substantially, giving us continued belief that we can serve more occasions for the active athlete and those consumers looking for performance sneakers. And there have been very positive early reads behind soccer inspired looks like the Samba and Gazelle by Adidas, which will be a key story for us at back-to-school and holiday this year. 
 While our overall apparel business was down significantly, as Mary mentioned, our private label brands have maintained momentum growing 13% during the quarter, driven by particular strength from our new labels, Locker and Cozi, and we see emerging momentum in apparel materialization like woven bottoms and the opportunity to build new tech and outdoor-inspired collections. Importantly, even in the tougher backdrop, the consumer is still showing up for newness in key selling moments. This past weekend was a prime example where the release of the Jordan Retro or Thunder generated incredible excitement and sell-out results. Our New Balance Grade A activations drove strong omni sales, and our celebration of Mother's Day lifted our women's footwear business significantly. And, while we continue to expect a challenging backdrop for the consumer for the balance of the year, as we look ahead, we are excited about the building energy in the footwear category for the back half. Including the scaling of Nike Signature Basketball models at holiday during the '23, '24 season tip off and key icons like the Nike Dunk. Rihanna's renewed collaboration with Puma launching again this holiday, the launch of Anthony Edwards Signature Basketball shoe with Adidas, increased supply of models like the Adidas Samba and Gazelle at back-to-school, which are gaining momentum, improved inventory levels and brand presentation for New Balance life style running in court franchises and the ongoing door expansion of key growth partners ON and HOKA. With ON expected to reach 350 doors later this year, up from over 250 today, and HOKA to 150 doors, up from 100 today. 
 By channel, comparable sales in our stores decreased 7.4%, driven mainly by traffic declines, but also from conversion and some pressure on average ticket. Digital comps fell by 16.8%. However, excluding Eastbay, the e-com-only banner we wound down late last year, digital comps declined by 9.5%, with improving conversion trends through the quarter as we capitalized on the quick digital wins that Mary described. Digital penetration of total sales was 16.3% down from approximately 18% last year on a reported basis, but flat to last year, excluding Eastbay. 
 In North America, overall comps declined by 12.8% with pockets of strength offset by the drag from lower tax refund dollars and the reset of Nike in North America. At Foot Locker North America, comps fell by 5.5% with the consumer and product headwinds cited above, offsetting strength in Signature Basketball and performance running. Encouragingly, our power and community stores outcomped the balance of chain in Q1 by several percentage points. Key new store openings during the quarter included a community store in Baltimore, an off-mall power store in Dallas-Fort Worth and a power store in Miami. And, we are also encouraged by some new tactics we have deployed in digital media and customer targeting. In several test programs we launched this quarter, the return on ad spend we delivered encourages us to believe that we can scale the tactics and improve our digital business throughout the rest of the year. 
 Looking forward, we have identified 3 pilot locations we have planned for our new Foot Locker store of the future concept, that we plan to open next year. Together with swift progress on our store design work streams, we will launch our first prototype store in early Q1 next year. These stores are being designed to deliver an omni connected retail experience with stripers who will provide elevated service and product knowledge, providing learnings that we can apply to the rest of the fleet. We have also landed on our new global Foot Locker brand positioning, which will inform our holiday brand campaign and give way to celebrating our 50th brand anniversary next year. 
 Kids Foot Locker comps were down 7.7%, driven by similar headwinds as Foot Locker. KFL did, however, deliver a positive digital comp for the quarter, driven by online conversion gains and effective digital media planning. KFL also opened 2 additional house of play doors in Baltimore and in Miami. Collectively, our house of play doors comped up mid-single digits or nearly 12 points better than the balance of chain, giving us confidence that these expanded formats are connecting well with consumers. With door expansion of New Balance and Hey Dude during Q2, and launch of ON running at KFL for BTS, we remain convicted that KFL is a highly differentiated and competitive advantage for Foot Locker, Inc. 
 At Champs Sports, we are making progress on repositioning the banner to serve the active athlete segment through an evolved merchandise assortment and brand evolution. Comps were down 25% as we preferred Foot Locker for key launches and constrained supply of Nike Inc. products during the reset. The higher penetration of apparel, which underperformed as a category was also a drag on the banner. But we did see good growth from the performance running category across multiple brands, including Brooks and ASICS. And we had a strong quarter with Under Armour from an apparel standpoint, as we continue to dimensionalize the assortment and drive more distinction from the Foot Locker banner, including new athleisure ideas from the CSG private label brand. 
 The Champs team has also done a great job connecting with new and retained consumers behind their 3 key consumer pillars of performance, completing the sports style look and sneaker essentials. And while this reset year will most acutely impact the Champs banner from a comp perspective,  the seeds of the new positioning have been planted, and the team is working hard to connect and serve the active athlete. Our WSS banner focused on the Latino consumer outperformed other banners, but comps were still down 3.4% as the macro environment has put particular pressure on lower household income consumers. While traffic was down sharply, the business executed well by implementing tactical promotions, helping to drive improved conversion, as a partial offset. 
 During the quarter, we opened 6 new stores, bringing our total to 120, and we are on track to open approximately 25 for the year, for a growth of 20%. New stores this quarter included our first store in South Florida, which is off to a strong start, and we remain excited about the expansion opportunity for WSS beyond the West and Southwest. With a unique and special connection to the growing Latino community, we continue to see potential for more than 300 WSS stores in the United States with a trajectory to reach revenues of approximately $1.3 billion by 2026. And I'm also thrilled that we have such an experienced and committed leader in Blanca Gonzalez join us to lead the WSS banner. 
 Turning to Europe. Overall comps were relatively flat with Foot Locker Europe up low single digits, while Sidestep was down nearly 40%, as we exit the business and liquidate inventory. While overall performance in the region was below expectation, there was solid growth in Italy, Spain and France. Tourism continues to drive growth in the region with larger key cities continuing to outperform their respective countries. This momentum was offset by declines in the U.K. and Germany, where all of our midst to expectations was concentrated. 
 In Asia Pacific, comps increased 8.9%, more in line with our expectations, with Foot Locker banner comps up 11.2%, driven by successful brand diversification efforts and tourism returning to Asia. Within Asia, we remain on track to close our stores in Macau and Hong Kong and convert our operations in Singapore and Malaysia to a licensed business model by the middle of the year. And at atmos, comps were up 2.7%. The top line was aided by a strong tourism rebound in Japan, along with an exciting series of sneaker drops and strong consumer engagement. So while near-term trends are not meeting our expectations, we are firmly committed to our Lace Up strategy, and the long-term plans across our banners and regions. And the early wins and traction that I referenced in my comments, gives me the confidence that our teams are executing well in tough conditions, and laying the foundation for long-term and sustainable growth. 
 I'll now hand the call, over to Rob to go over the financials and guidance in more detail. 
Robert Higginbotham: Thank you, Frank, and good morning, everyone. Starting with revenues. Our total sales fell by 11.4% on a comp decline of 9.1% compared to our comp guidance of down high single digits. Somewhat below our original expectations, given disappointing results in April. By month, both February and March were down low double digits, given the drag from lower income tax refunds, which were down on average by about 10% in addition to the reset with Nike and the repositioning of Champs.
 April improved to down low single digits on a stronger launch calendar, but our non-launch business was meaningfully below our expectations that the consumer is both seeing pressure from inflation, as well as [indiscernible] to shift spending dollars to services and away from products. Moving down the income statement. Gross margin for the quarter declined 400 basis points to 30%. Merchandise margins fell by 250 basis points, driven by higher promotions, against the still unusually low levels a year ago, and our increased promotional activity late in the quarter, as sales began to come in below expectations. Also, while our overall strength is relatively low, we have seen a significant pickup in test activity that was also a drag on merchandise margins. 
 Occupancy deleveraged by 150 basis points given the sharp comp decline. Offsetting pressure from promos, shrink and occupancy deleverage was approximately $10 million of gross margin savings from our cost optimization programs. For the first quarter, our SG&A rate came in at 22.4%, representing deleverage of 110 basis points with savings from the cost optimization program of approximately $25 million, more than offset by underlying deleverage on the sales decline, inflation and the investments in frontline wages and technology. With our cost optimization program, generating total savings of approximately $35 million in the first quarter, we remain on track to capture approximately 40% of the total $350 million targeted savings this year. Our GAAP EPS came in at $0.38 and our non-GAAP earnings of $0.70, somewhat below our original expectations given the softness we began to see in April. 
 Now turning to our balance sheet. We ended the quarter with $313 million of cash and $451 million of debt. At quarter end, our inventories were 25% above last year, but down slightly from the 30% year-over-year increase at the start of the quarter. We paid $38 million in dividends and did not repurchase any stock during the quarter. Moving on to our outlook for the rest of the year. Given the soft trends that began in April and have continued into May, we are lowering our full year expectations across sales and gross margin. For the year, including the extra week, we are lowering our guidance for non-GAAP EPS to the range of $2 to $2.25, down from our prior range of $3.35 to $3.65, with the following drivers: we now expect comps to decline by 7.5% to 9% compared to the prior range of down 3.5% to down 5.5%. We  plan to open approximately 90 new doors for the year, including 25 WSS stores, while closing a total of approximately 330 stores. Overall, our store count will be down approximately 9% in 2023, with square footage down approximately 4% as we convert more stores to larger formats. With the extra week adding approximately 1% for sales, total sales for the 53-week year are expected to fall by 6.5% to 8%. 
 With sales softer than anticipated, we are taking more aggressive action on promotions to drive demand and manage our inventory. As a result, we now expect our gross margin to decline by 310 basis points to 330 basis points to 28.6% to 28.8%, down from our previous guidance were 90 to 110 basis point decline, given steeper markdown activity, incremental occupancy deleverage on the bigger comping fund as well as an increase in [indiscernible] related strength. We've also taken a more aggressive approach to expenses. And while sales are expected to be lower, our SG&A rate is expected to be modestly better than our original forecast. We now expect to deleverage SG&A by 60 to 80 basis points to 22.4% to 22.6%. As a result, we expect our 2023 non-GAAP earnings per share to be in the range of $2 to $2.25, including the impact of the extra week. While we will not be giving quarterly guidance on an ongoing basis, we did want to provide some color on our expectations for the second quarter and the back half. 
 For the second quarter, we now expect comps to be down high single digits, below our previous expectations of down mid-single digits. On gross margins, given we are leaning into promotions, we expect merchandise margins to be down, more than what we experienced in 1Q despite starting to lap more normalized promotional levels in 2Q. On SG&A, given the wage investments we made in 1Q were in March, they will have a larger impact on expense dollars for 2Q, such that we expect to deleverage SG&A by more than what we experienced in 1Q. 
 Also, because of the low level of earnings, our non-GAAP tax rate will be unusually high given our losses in Asia are nontax deductible. We, therefore, expect a non-GAAP tax rate of over 50% for the quarter. As such, we expect to be marginally profitable in 2Q with non-GAAP EPS below $0.05. Looking to the back half, we expect comp declines of down mid- to high single digits, reflecting ongoing softness in the consumer. While below our previous forecast were down low single digits, we still expect some sequential improvement on the first half, driven by promotions having a bigger impact on demand during back-to-school and winter holidays compared to 2Q, which has a directly key selling moments. Strong flow of product newness, including supply of models like Samba and Gazelle, which are gaining momentum. The increased door counts for ON and HOKA, that Frank emphasizes, Nike rebounding later in the year, as well as strategic initiatives, particularly in digital gaining traction. Heightened promotional activity is expected to continue into the back half, but March margin comparison ease resulting in moderating gross margin pressure compared to the first half. 
 In closing, despite the near-term weakness, we remain excited about our early progress on the strategic imperatives within our Lace Up plan and remain committed to its execution, to put us on a path towards sustainable long-term growth. With that, operator, please open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Janine Stichter from BTIG. 
Janine Hoffman Stichter: I guess to start out, I wanted to ask a bit about, how you think about the long-term target that you laid out in March. Any change there? And maybe in terms of the pacing to get to those targets, how we should think about fiscal '24 into fiscal '25, and the outlook that you've given previously? 
Mary Dillon: Well, thank you for your question. Let me start by reiterating that I have complete confidence in the Lace Up plan. And, as we just discussed, we're already seeing strong progress on the strategic imperative. So we knew this was going to be a reset year with the Nike reallocation, Champs rationalization. But certainly more challenging than we thought at the time. I think, we're taking the right action but also continuing to focus on the future. And to your point, as I think about the longer-term targets, the imperatives are intact. The strategic imperatives that we outlined, we know are the right ones to drive our business to be even more competitive. And to drive that long-term sustainable growth, and the operational targets that we set are still also intact. Examples like reaching 25% digital and 50% loyalty penetration, those are unchanged by the current macro environment. So, we're going to continue towards those objectives and make the investments that we need to reach them. So Rob, can you add a little bit more about the financial targets themselves? 
Robert Higginbotham: Sure. So when it comes to the longer-term aspirations of that over $10 billion of revenues at over 10% EBIT margins, those are certainly the targets that we will be marching towards the over time and what we -- what ourselves accountable to over time. In terms of the more midterm targets, in terms of EBIT margins, 8.5% to 9%, revenues at $9.5 billion, that we initially set for 2026, it will take a little bit longer to get to those numbers. In terms of the algo, the trajectory to get to them that mid- to high 20s EPS growth is still the growth rate that we think that we can achieve sometime past this year. I would note that given some of the earnings pressure, much of the earnings pressure actually this year, is through promotions that are above usual levels. We would expect to, at some point, recapture some of that or most of that in a more normal environment, such that you could see a period of time where we actually grow above that mid- to high 20s EPS growth rate. So the targets themselves are very much intact. We're still very committed to them, as Mary mentioned. Importantly, we're going to continue to make the investments that will get us there. But it will take us a little bit longer than we originally anticipated. 
Janine Hoffman Stichter: Great. And on the promotions, inventory is a bit higher than we had expected. How are you buying for the back half of the year into next year? And should we still expect inventory to be down slightly for the year-end? 
Franklin Bracken: Yes. Great question. So certainly, our merchant teams are working very hard on the promotional cadence that we outlined, and that's implied in our guidance for '23, also partnering very closely with our strategic vendor partners on assistance to make sure that we can reflow and also share some of the impact of that promotion. And then, we have made some adjustments to the order book, including back-to-school in Q4 that will allow for a reflow of some of the key items and some of the seasonless merchandise that we have. So we feel very good about our ability to flex our plans and partner with all of our key vendor partners. . 
Operator: Our next question comes from Adrienne Yih from Barclays. 
Paul Kearney: This is Paul Kearney on for Adrienne. My first one, on the Champs business, can you tell us, what are the metrics for success that you're looking for that the repositioning is working? With comps below the overall company, how much of this was directly driven from the repositioning, so taking some Nike product out versus overall weakness of apparel, then maybe also how did the merchandise margin at Champs trend versus Foot Locker? 
Franklin Bracken: Yes. So firstly, we firmly believe that the long term, there's an opportunity to position Champs to get the active athlete, and we outlined that in our Investor Day and it's part of our sneaker growth map. And there's also really key adjacencies to the quality seeker and the fashion forward expressionist to give us a really solid consumer base. In Q1, as noted in our remarks, we did prefer Foot Locker for scarce inventory of launches over Champs, and that impact was orders of magnitude and substantial immaterial to the Champs business, and that will continue throughout the year. The other drag that you mentioned was the apparel business, which has a disproportionate impact to comps, given the penetration of apparel Champs, which is about 10 points higher than our other core banners. So that too was a significant impact. The other thing was the impact of launch in itself, there's always been a high attachment rate of apparel to launch sneakers. And so that, too, was a further drag and we continue to see that. Having said that, the repositioning and transition is making very good progress. We've outlined 3 key pillars of that. Our commitment to the performance category, our head-to-toe story telling against that sport style look, and then sneakers essentials. And throughout Q1, we saw very good early signs of that. We talked about the growth of performance running -- performance basketball from a footwear standpoint. We've moved quickly and swiftly with brands like Under Armour and New Balance to improve our position in inventory and in-store experience. 
 We also cite CSG, as a big opportunity to move quickly into athleisure and take inspiration and some of the trends that we're seeing in technical performance, and also outdoor-inspired looks. And then, Sneakers Essentials is a third pillar, and we're seeing excellent storytelling and improvement both in store and online. And most importantly, our vendors are very committed to our long-term plans for Champs. It's an integral part of our Foot Locker ecosystem, but also an important connection to the consumer marketplace and our vendors have unilaterally supported us in this transition. 
Operator: Our next question comes from Paul Lejuez from Citi. 
Unknown Analyst: This is Kelly on for Paul. Could you talk about where your Nike penetration shook out in the quarter? It seems like that reduced allocation was particularly impactful this quarter in that chance. So any way to quantify that impact, relative to your original expectations? And then, as we think about the year, I guess, when does that penetration ultimately shake out? Do you still expect Nike to return to growth in your new financial guidance? And then, just secondly, can you just help us quantify, how much excess inventory you feel you have to get through? What's sort of the makeup of that inventory? Is it apparel and footwear, more apparel weighted? Any kind of comment on it by a category basis would be helpful. 
Robert Higginbotham: Sure. Kelly, thanks for the question. This is Rob. So on the vendor mix, as we noted in our prepared remarks, the mix outside of Nike was 35% this quarter. That was up a couple of points. So, we do feel like we are making progress in diversifying the brand portfolio, and we noted a number of brands that have outperformed the overall portfolio. As you look towards the rest of the year, we haven't given targets for the Nike vendor mix penetration by year. We still very much expect to over time by 2026, reach over 40% in our mix with other vendors and that kind of still the bogey that's very much intact, an important piece of the overall strategy. In terms of the composition of the inventory the inventory growth that we ended the quarter with was largely footwear. So, footwear was much higher than that average or higher than the average and apparel was actually kind of flattish. So, as you move forward, that's the way to think about the inventory composition. And again, we expect to end the year, kind of in that flattish kind of territory for inventories overall. 
Operator: The next question comes from Corey Tarlowe from Jefferies. 
Corey Tarlowe: Could you first talk a little bit about, how the consumer behavior has changed in recent months? Clearly, the consumer is pulling back, but just curious about how that's manifesting specifically in your stores, maybe from a traffic and ticket perspective? And then, also what you've embedded in your outlook as you look ahead? 
Mary Dillon: Sure, absolutely. Let me just talk about, broadly speaking. So, consumer demand has softened since Investor Day and signals are that we think that pressure will continue. We look at our middle and lower-income customers in particular, and saw that even kind of through last year some softness. But, people really rallied for back-to-school and for holiday. And so as we came into this year, though we knew there was some pressure because of the lower tax refund, we had hoped that things would snap back post that. And, what we saw is that it really hasn't to the extent that we were forecasting or hoping for. So -- and the -- when you think about just from a household spending perspective, inflation while abating is still high, higher than before. So the basics in people's household, whether it's gas, food or rents are elevated in terms of cost. So that puts pressure on ability to spend discretionary dollars, which affects our categories. People are just having to be more choiceful, as they think about discretionary spend. And, we also see an increase in usage of credit. So we're not immune to this, but we're probably a little bit more exposed to it given the income level that we skew a little bit lower income. .
 Having said that, I do feel really good about the fact that we see our customers showing up at key moments, key launches, key holidays. And we're focusing ourselves to take everything in our control and do the best job we can to show up for our customers. And we've seen both traffic and conversion down. And I think right now, we just expect that pressure to maintain in between maybe points that are kind of like key selling moments. 
Corey Tarlowe: Got it. And then just on Nike, I think Rob, you might have said in your comments that you expect Nike to rebound later in the year. I wanted to just make sure I heard that correctly. And maybe, if you could talk a little bit about what's driving that, that would be great. 
Robert Higginbotham: Sure. I'll start and maybe others can jump in. But the idea of Nike stabilizing and kind of starting to return to growth towards the back half of -- back part of the year, end of the year is still very much the dynamic that we expect. Given the backdrop, we'll see how the overall business shakes out and in terms of the magnitude of that inflection, that's still to be determined. But that dynamic of it flattening out, stabilizing kind of returning to growth, as we absorb the allocation change and including the lower allocations of launch product is still what we expect to happen. 
Mary Dillon: I would just add that just at a higher level, the way that we view the relationship is really moving forward, very constructive, working together, our teams working closely together, whether it's through better sharing of data and marketplace information, whether it's really about focusing on the strategic common areas that we share a strike. So basketball, I know Frank talked about several of those in his prepared comments. Kids sneaker culture. So as Rob said, we're working actively towards a plan to go through this reset, and then build to growth, and that's our plan. 
Operator: And our next question comes from Paul Nikic from Wedbush Securities. 
Unknown Analyst: Austin Breno on for Tom. I just had a quick question. You noticed that there's a slowdown in consumer spending, and your elevated inventory levels, particularly with the point you just made at them being a little bit higher in footwear. Could that possibly cause you to slow down, how quickly you guys add some of the newer brands like HOKA and ON and possibly can do to your stores throughout the rest of the year? 
Franklin Bracken: This is Frank. No, actually, somewhat that inventory growth is in some ways generated and being driven by some of those brands that we have growth aspirations and the consumer is reacting positive too. So some of that inventory growth is in brands like New Balance, like HOKA, like ON, like Brooks like ASICS, where we're seeing comp growth. So we're actually fueling that growth inventory and new receipts throughout the rest of the year. At the same time, some of the slower-moving categories and franchises, we are being more aggressive with our promotional and markdown cadence. And we're also looking at future order book adjustments, and the reflow of receipts and inventory to be more in line with the sales trends. So, I think we're appropriately planned and certainly weekly discussions and reactions that we have to the marketplace make me feel very confident that we've got the inventory bottom line. 
Operator: Our next question comes from Joe Feldman from Telsey Advisory Group. . 
Joseph Feldman: I'm on for Cristina Fernandez. Wanted to ask a follow-up on shrink. And what exactly are you guys seeing there? I know it's up across retail, but I was curious, as to why you're seeing on your end and where the incremental shrink is coming from to take that number up from where you had thought, it would be at the start of the year. 
Mary Dillon: Yes. I mean, I would just say that, again, this has been a multiyear dynamic in the industry. We are not immune to it. It's increasing. You've heard target talk about it and others. And so, it's having an increased impact on Foot Locker. We've seen a significant increase in that from stores. And usually through this lens of an organized retail crime type of action affecting more apparel, certainly, than footwear, where we only have one item out, but apparel is affected. So we're doing like others in retail, our best job to balance two things. One is to aid local law enforcement and tracking with trackers to track the feeds and also kind of pushing for more enforcement of repeat offenders. There's also a cross retail work at the other end of the equation, which is the informed act which is trying to really make sure that the online marketplaces are getting more vigilant about making sure the products that they sell are not through organized retail crime. So our other focus is really just making sure that we're keeping people safe. We certainly do not want our employees to get in the -- get hurt or get in the middle of this, as our customers certainly as well. So like others in retail, we see it as having an increased impact and we're managing to the best extent we can. 
Joseph Feldman: Got it. That's helpful. And then, the follow-up would be on SG&A, the guidance you guys are giving a little bit better than it was before. I was curious, where maybe you're finding the incremental costs, and it seems like given your comments about the second quarter, it should be a pretty significant step-up in the second half. Is that how we or reductions, I should say, in the second half? 
Robert Higginbotham: Sure. So as we've seen the slower sales materialize, we've taken a very close look at discretionary spending. So thank everyone, everywhere from travel to special events to certain kind of purchasing that's not what we call mission-critical. So it has taken a very fine tooth comb, if you will, to what the cost structure looks like and anything that doesn't directly contribute to the Lace Up strategy. We're questioning, if those dollars need to be spent today. I mentioned a couple of them. Our performance pay relative to the lower earnings will certainly come in, and that's a big part of it as well. So that has an impact on 2Q. But keep in mind, 2Q, again, absorbs the first full quarter of the wage increase, and some of the big first step ups in terms of IT expenses. 2Q is our seasonally lowest quarter. So those dynamics in terms of margin have the biggest impact on that quarter, as opposed to the back half. But the expense actions that we've taken are relative to 2Q, but to your point, have a bigger impact on the back half. . 
Operator: The next question comes from Bob Drbul from Guggenheim. 
Arian Razai: This is Arian Razai on for Bob Drbul. I have a question about the off-mall, given the success you drove at [ Alter ] with off-mall locations, to see what rise your confidence that in Foot Locker's [indiscernible] strategy? And how would you balance that? 
Mary Dillon: Yes. One of the key imperatives -- strategic imperatives of our Lace Up plan, we call powering up the portfolio. And it is about making sure that we optimize our real estate footprint to match where our customers most need and want from us, and macro trends around that, right? So, it's about just making sure our banners are distinct from each other and then optimizing the real estate. So, what we have in the plan and we're very committed to is that we will increase the off-mall percentage to 50% by the end of 2026. And our new store format to be about 20% of our mix by the end of 2026. The new store format, which is largely off-mall as well, our larger stores, we call them community stores or Power Stores. And their larger square footage meant to really represent the communities we operate in, and allow us to have a more full service ability to meet all things sneakers. So more brand presentation and more categories for men, women and children. So we're going to continue to increase as part of -- those as part of our mix. Now malls are still important in our portfolio as well. In fact, we have AMB malls that continue to perform really well and have historically. Often, those are malls in places where that's the best place to shop. So we're going to make sure to maximize those. The comps in our off-mall formats and our new formats are already trending higher than the fleet at large. So clearly, we feel like that's a good indication that we're moving in the right direction. . 
Operator: The next question comes from Matthew Boss from JPMorgan. 
Amanda Douglas: It's Amanda Douglas on for Matt. So Mary, looking out beyond this year, I think you had previously laid out a 3% to 4% comp target for 2024 through '26. Is it 3% to 4% comps starting in 2024? Or do you see it, as an average over the 3-year period? And what just gives you confidence in the sequential improvement from here? 
Mary Dillon: Well, let me just start at a high level the second part of your question, which is that I'm repeating this, but I feel very confident in the plan -- the strategic plan that we put together, which we're calling the Lace Up plan. But it's a very well thought through set of strategies and imperatives, with a team that's very committed to bringing that to life, and I'm seeing it happen rapidly. So, the idea here is to position ourselves to be able to grow at the rate of the category, which were not today. We knew this was going to be a reset year. It's a bigger reset than we had anticipated with the macro consumer issues and the actions we need to take on our inventory. So we still hold the target -- those growth targets as the right ones. It may take a little longer. I can't say exactly, when the consumer pressure will lift up. But, I can say with confidence that the strategies that we put in place will allow us to be very competitive in the growth category and really hold our market share over time. 
Amanda Douglas: That's helpful. And then a follow-up for Rob. How best to think about the time line of investments you're making across loyalty, technology and wages? Do you see these as investments primarily weighted to 2023 with opportunity to then leverage in '24 through '26? Or how about to think about expense leverage beyond this year? 
Robert Higginbotham: Sure. So, the plan was always constructive to have much of those investments done this year, which is in fact, what's happening. So when you think about wages, we take a big wage action in March, that was over $30 million that was planned and again, acted on in a very strategic and important decision for us and actually one that's already bearing fruit in terms of improved conversion and improved NPS, improved employee engagement. So as we look to invest in our key assets, one of those being the strikers themselves. We view that as very favorable. So certainly glad that we're doing that. The cadence or rhythm investments that beyond that are really unchanged by the current environment. We're going to continue to lean into the strategy, as we've all been describing today. Some of those bigger investments are this year in terms of wages, IT certainly have a bigger impact on the margin line, given the softness in the top line. But once the top line gets reinvigorated, we expect those investments to be largely are more than offset by the cost optimization programs that we have in place. So we feel good about the trajectory, the investment cadence, what we're doing, the plan itself, we just have to get through this moment in time, if you will. 
Operator: Our last question comes from Kate McShane from Goldman Sachs. 
Katharine McShane: We wanted to go back to inventory for a moment. We just wondered, how you're feeling about the level of inventory in the channel as a whole, not just at Foot Locker, are you seeing a build across the board? And is it more in footwear versus apparel? And, how should we think about vendor support in an environment like this, when it comes to promotions? 
Franklin Bracken: Yes, Kate, this is Frank. So we're going to learn more about that candidly. As some of our competitors announced their results here later in the month. And so, we'll look just like you will, to some of those indicators. What we do know is that we do have inventories that are up about 26% to last year. As we outlined, we have a very clear promotional cadence and calendar that we feel good about. We've seen and measure the lift and impact of those promotions throughout April and the first couple of weeks of May. And have, therefore, calibrated our investment in promotional dollars for the rest of the year, and that's implied again and what we've reported out is our new guidance there. We have worked very closely with all of our strategic vendor partners, to work through some of these short-term and transitory inventory issues. And that includes actions like RTVs, some vendor allowance dollars, and then also adjustments in reflows to the order book. So all of those things taken in combination with the promotional tactics that we have outlined and talked about, give us the confidence that, again, we're taking control of our destiny here and managing through this transition. 
Operator: I would like to turn the call back to Ms. Mary Dillon for closing remarks. 
Mary Dillon: Thank you all for joining us today. While clearly navigating a challenging environment, we're steadfast in our commitment to the Lace Up plan, and I look forward to updating you on our further progress, next quarter. Thank you, and goodbye. . 
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.